Operator: Good morning, everyone, and welcome to the NextNav's Second Quarter 2022 Earnings Conference Call. Participating today on today's call are Gary Parsons, NextNav's Chairman; Ganesh Pattabiraman, NextNav's Co-Founder and CEO; and Chris Gates, NextNav's Chief Financial Officer. Please note, before we begin, that during today's presentation, the company may make forward-looking statements, either in our prepared remarks or in the associated question-and-answer session. These statements, which involve risks and uncertainties relate to analyses and other information that are based on forecasts of future results and estimates of amounts not yet determinable and may also relate to NextNav's future prospects, developments, and business strategies. In particular, such forward looking statements include statements about NextNav's position to drive growth in its 3D geolocation business and expansion of its next generation GPS platform, the business plans objectives, expectations and intentions of NextNav, NextNav's partnerships, and the potential success thereof and NextNav's estimated and future business strategies, competitive position, industry environment, and potential growth opportunities. These payments are based on current expectations or beliefs and are subject to certain risks and uncertainties that may cause actual results to differ materially. Such forward-looking statements are subject to known and unknown risks, uncertainties, assumptions, and other important factors, many of which are outside NextNav's control and that could cause actual results to differ materially from the results discussed in forward-looking statements. These risks, uncertainties, assumptions, and other important factors include, but are not limited to, the ability of NextNav to continue to gain traction in key markets, with notable platforms and partners, both within the US and internationally; the ability of NextNav to grow and manage growth profitably, maintain relationships with partners, customers, and suppliers, including with respect to NextNav's Pinnacle 911 solution and it's TerraPoiNT network, the ability to retain its management and key employees; the ability to maintain balance sheet flexibility and generate and effectively deploy capital in line with its business strategies; the possibility that NextNav may be adversely affected by other economic business and/or competitive factors, including the impact of the ongoing COVID-19 coronavirus pandemic; other risks and uncertainties indicated from time-to-time in documents filed with Securities and Exchange Commission by NextNav. New risks and uncertainties arise from time-to-time, and it is impossible for us to predict these events or how they may affect us. You are cautioned not to place undue reliance upon any forward-looking statements, which speak only as of the date made. And NextNav undertakes no commitment to update or revise the forward-looking statements, whether as a result of new information, future events, or otherwise. Risk factors that may impact our performance are identified in our most recent SEC filings. Following our prepared remarks, the company will host an operator-led question-and-answer session. In addition, at the conclusion of today's call, a replay of our discussion will be posted to the company's Investor Relations website. With that, I'll turn the call over to NextNav Chairman, Gary Parsons. Please, go ahead.
Gary Parsons: Thanks very much, operator and good morning, everyone. We're pleased to have you here today to discuss our second quarter results. To begin the call, I will provide a high-level overview of the quarter and then turn things over to Ganesh to run through our operational highlights and Chris will provide a review of financial performance followed by our Q&A period. Before I jump in to comments on the quarter itself, I wanted to touch on the news we issued alongside earnings this morning. As you may have seen, we're very excited to announce that Neil Subin will be joining the NextNav Board of Directors effective today. He will be replacing Peter Barris, who many of you know as a long-standing Board member with NextNav.  Peter was recently named Chairman of the Board of Trustees of Northwestern University. And he's also Chairing the search committee for the new President of the University. So given the time and effort required for those new duties, as well as other industry commitments, Peter will be stepping down from NextNav Board. Given his many, many years of service I wanted to personally thank Peter for his great dedication and support and to wish him well, as he takes on that Board, Chairmanship at Northwestern. And it's really hard to say how excited I am to have Neil stepping into this new role. As many of you will remember, Neil was an integral part of the Spartacus team that helped to take NextNav public. I've known Neil for many years and have seen how successful he's been in telecom investing and helping new high-tech companies grow and prosper. From an investor standpoint, many of you already know about Neil's domain expertise in manifesting value from underlying spectrum assets, which is well-known for. In fact, NextNav’s nationwide spectrum assets were a core part of that investment thesis that originally attracted the Spartacus team to NextNav and that's what facilitated our merger. As a reminder, that spectrum asset representing eight contiguous megahertz of sub-gigahertz spectrum and over 2.4 billion megahertz pops, nationwide covers virtually all key markets and the vast preponderance of all urbanized areas. Thus, the ability to backup GPS, provide resiliency and critical infrastructure timing resiliency in urban markets, is truly quite comprehensive on a nationwide basis. And we'll talk more about the importance of that as we go throughout the call. And so having Neil on Board will allow us to continue to use this asset along our current tech stack, but also look for additional opportunities to potentially leverage our spectrum in new ways. Overall, we're just thrilled to have Neil on board and we look forward to working with him. We're continuing to work with a national search firm by the way to identify additional board candidates that will bring more diversity to our current slate. We hope to have more to share on that front later this year. Now, turning now to the business. In spite of what's obviously a challenging macroeconomic environment around us, we continue to see solid platform and partner adoption in the second quarter. We delivered significant year-over-year growth in revenue, while continuing to manage the business with an eye towards prudent cost management.  As you'll hear from Chris shortly, we've done a good job managing our expenses and while we are continuing to ramp up headcount, we've been a little less addressable on that front in-light of the uncertain economic environment. And further, we're prioritizing the new hires to those market segments, which are showing the most near-term promise. As a business, we're focused on bringing our strategies and our product offerings with what's happening in the marketplace. This is particularly important as we're seeing accelerating government interest both in the United States and internationally and our TerraPoiNT GPS resiliency services, of course, along with our ongoing adoption of Pinnacle Technology across various markets adjacent to the public safety marketplace. As Ganesh will outline in a moment, we signed new partnerships in several key verticals in the quarter. Notably, we deepened our footprint significantly in public safety, and believe this expansion further validates the importance of our technology to public safety providers and our continued commitment to serving this growing and dynamic industry. On the international front, we're also making great strides in Japan within MetCom collaboration. In the second quarter, we signed an agreement for commercial deployment of our Pinnacle vertical location service in Japan. Deployment of Pinnacle in Japan marks the first international rollout of the full 3D geolocation technology, and it's an excellent validation of our services. So we're delighted to see this moving forward, and we'll continue to keep everyone advised of the progress. We also remain in active discussions with both US and European governments around solutions to address GPS vulnerability. As Ganesh will expand on shortly, things are moving forward as governments continue to realize the vast importance of securing those Position, Navigation and Timing, or PNT resilience capabilities. The activity we've seen to date gives us confidence that we're on a good path to 2023 appropriations to secure additional dollars for the DOT and DHS to move forward on the implementation plan for PNT resilience. And then finally, before turning it over to Ganesh, I wanted to briefly comment on our recent addition to the Russell 2000 Index in June. In short, we're pleased to now be a part of the Russell. This is a significant milestone for our business and inclusion in the index will broaden our visibility with the investment community. That's the continued momentum and adoption of our next-generation GPS capabilities, will hopefully then be able to translate into value creation for all of our shareholders. And all, we think there's a great opportunity, given our current asset base and the technology capabilities that we've gotten to really drive this business forward. And so, with that, let me turn it over to Ganesh.
Ganesh Pattabiraman: Thank you, Gary, and good morning, everyone. We're pleased to be here to discuss our progress in the second quarter. First of all, I do want to thank Peter Barris for his support and work on the Board for nearly a decade. His guidance and support has helped us become a better and stronger company. We wish Peter well and know that he will bring tremendous value to Northwestern and his other endeavors. I'm excited to see Neil join our Board. We worked very closely last year when we were going public and his knowledge and expertise on telecommunication spectrum issues will be truly invaluable as we chart our new paths. Now, I want to take a moment to expand on the comments about the governmental activity in Europe and the US. Over the last several months, we have seen growing momentum and activity out of the US government towards realizing PNT resilience. The recent release of the 2021 Federal Radio Navigation plan published jointly by the Department of Defense, Department of Transportation and DHS, significantly mentioned the importance of ensuring PNT resilience to protect our nation's critical infrastructure. Specifically, the plan highlights the goal of increasing resilience against GPS and PNT disruptions, especially in light of growing cyber threats and describes the capabilities needed to meet the future requirements of a resilient PNT enterprise in the national PNT architecture. The national research and development plan for positioning, navigation and timing resilience has as one of its stated goals to expand resilient PNT, including approaches to integrate and use multiple PNT services. Following intense congressional activities that our team helped to orchestrate, we now believe the government will be taking concrete action in the coming months towards implementing PNT resilience. This includes elements of the executive order 13905, which calls for all federal procurement to include resilient PNT systems. And as part of the discretionary grants made available through the infrastructure bill, especially those focused on resilience such as all hazards and cybersecurity. You can already see elements of the federal government moving forward with policies and directives that look to PNT resilience as part of their procurement process. The FAA issued a policy framework of 1770.68 in 2020 that directed all program offices and systems and service application owners who migrate their systems and our applications as soon as feasible, but no later than financial year 2025 away from time and frequency systems dependent on GPS, GNSS to a NIST or US Naval Observatory traceable source provided by FAA timing systems or services. Although this directive was issued in 2020, what is significant is that this year, it was incorporated into the procurement process and all PNT requirements must be included in all solicitation contracts and orders for products. This is a huge step forward and exactly the type of activities we had talked about the US government undertaking in enabling PNT resilience. And we expect other agencies to follow suit and include similar language in their procurement process in the coming months. In addition, on August 4th, the Department of Transportation in coordination with DHS organize an industry roundtable to bring together critical infrastructure providers, technology providers like us and various federal agencies to understand the state of the industries and the barriers to adoption of Brazilian PNT system. It was good to see this process be put in place. I think the various agencies benefited from hearing both the potential end users and providers of the capability and how they could move forward. NASA also conducted a similar workshop in May for urban air mobility and advanced airmobile where I spoke about NextNav's offerings and how it could make drone and EV to all operations safer and more reliable. As an outcome of all these discussions, we expect several trials, proof-of-concepts to emerge in the next few months, followed by procurement plans of radio systems and grant money to be made available through several of the DoD grant programs as derived from the infrastructure build. On the European Union front, we are participating in EU's evaluation of alternate PNT systems. We were part of the EU's demonstration day on the 18th of May at Joint Research Center at Ispra, Italy. We also had a chance to interact with several European Union officials and Members of Parliament responsible for this initiative. We believe that EU will be releasing their final report and recommendations towards the end of this year or early 2023. In addition, the European Commission will be releasing the revised EU radio navigation plan, which will incorporate recommendations from the test report. We feel confident that these reports will set the path for resilient PNT systems in Europe. Beyond government, we're also seeing strong traction with our Pinnacle technology across various key industry verticals. We signed several strategic partnerships in the public safety arena this quarter. We already shared insights on both GeoComm and NGA on our -- NGA-911 on our Q1 call. But let me dive into some of our newest opportunities. As you may have seen, AT&T FirstNet recently announced that LAPD is equipping its officers with the FirstNet-enabled devices to help elevate the LAPD's communication system with broader situational awareness technology. Enabled by NextNav's Pinnacle service, the FirstNet platform will decrease response times, enhance situational awareness, and increase officer safety. The launch will begin with implementation with the LAPD SWAT teams later this fall with an eventual goal of reaching the 12,000 or so sworn officers of the LAPD. This is a truly exciting development for FirstNet and for our Pinnacle Service. We see this as a significant validation of our offering and believe we'll see additional public safety providers take a similar approach in the future. Beyond FirstNet, we recently announced partnership with Vizsafe, a provider of health, safety, and security solutions; Vitals Aware, a technology solution that bridges the information gap between the first responders and vulnerable people in times of crisis; and RapidDeploy, the industry's leading cloud-native emergency response platform. With Vizsafe, we're adding vertical location services to their Geoaware platforms to provide clients across public safety and emergency service sectors at the more accurate picture of the z-axis location of its workforce, visitors, and resources across multi-storey buildings. Similarly, with Vitals Aware, we're providing safety and vertical location services for people living with intellectual development and mental health challenges, through the company's vital -- company's Vitals app. And finally, in early August, we announced two additional partnerships with CentralSquare Technologies and Valor System. CentralSquare is an industry leader in public sector technology and is partnering with us to integrate z-axis vertical location capabilities into its computer-aided dispatch or CAD products and mobile suite of public safety software. This is a significant opportunity for us as CentralSquare is leader on the dispatch side and works with over 75% of public safety agencies nationwide, equipping them with real-time data and situational awareness to decrease response times on both the desktop and mobile application. I should note that with these collaborations, we now have partners across the entire public safety ecosystem starting with our partnership with the Nationwide Wireless Carrier for 911 emergency calls through to the dispatch center to first responders, we cover every aspect of the public safety network. Our ability to provide end-to-end support is a huge milestone for our business and illustrates our continued commitment to meet the needs of this industry. Beyond public safety, we have also expanded our footprint further in areas like gaming and construction. Of note, we recently started working with one of the leaders in location verification services. Leveraging our vertical location capabilities, our partner will be able to identify the location of a user in various unique scenarios. One great example is online gaming. Since many users try to spoof or fake their location to access an online gambling platform out of state, our technology will allow our partners to easily identify where the user is located and confirm whether they should have access to a specific site. We are also bringing our vertical location services to the construction industry. We recently paired up with VOS Systems to bring vertical location capabilities to the company's core product line. Under this agreement, we will spearhead the first connected worker solution to have vertical location capabilities, providing increased employee safety, improved workplace efficiency and faster emergency response times to affected workers. The addition of our vertical location service will enhance VOS Systems offerings without requiring additional localized or on-premise infrastructure. It also provides location intelligence in multistory buildings and locations even in areas without Wi-Fi or Internet access like construction sites. While we're excited about the vast opportunity we have in the US, we're also making great strides internationally. We recently announced a commercial agreement for the nationwide deployment of 3D geolocation services across Japan with MetCom. As part of the agreement, Pinnacle will enhance the experience of geolocation services from two dimensions to include a vertical third dimension, helping to better serve unmet needs in both public and commercial sectors. Importantly, the partnership will be the first large-scale commercial deployment of NextNav’s Pinnacle technology outside of the US. MetCom is expected to start commercial operations in October of 2022, following a successful pilot effort in Tokyo this past year. Pinnacle will first be deployed in the densely populated Tokyo and Osaka metropolitan areas, with a plan to expand coverage to major cities across Japan in 2023. As part of this effort, MetCom will also be leading more TerraPoiNT pilots across Japan, while they continue to make steady progress towards the approval of 5 megahertz of spectrum in the Japanese market. I should also note that MetCom recently raised nearly $6 million towards this expansion with Drone Fund, a leading VC drone funding provider, leading round along with KYOCERA and Seccom. NextNav also participated with about $1.1 million to help advance this project. This activity will show up in our third quarter financial, as it closed in the month of July. Looking ahead, we continue to hold active discussions with multiple countries and see growing interest for our vertical location services. We feel confident in the direction of these discussions and expect to have additional opportunities to announce in the coming months. Beyond our international work on TerraPoiNT, we recently partnered with GCT Semiconductor for the successful integration of TerraPoiNT's advanced location technology into the company's LTE chipset. GCT, which is a leading designer and supplier of advanced 4G and 5G solutions, will offer resilient 3D GPS equivalent performance into its LTE 5G chips. The integration enables NextNav's TerraPoiNT capability to be brought into mass market applications such as timing for critical infrastructure, position navigation for cars, IoT and drone, EV types markets in GPS challenged environments. By incorporating TerraPoiNT capabilities within the commercial GCT chipset, we’ve reached a milestone in demonstrating that TerraPoiNT signals can be received on an LTE GPS capable chipset hardware, all in a compact form factor suitable for mass market device. GCT's scale and proven track record of delivering highly programmable chipset will ensure broad availability of the high-quality 3D indoor positioning delivered by our TerraPoiNT network. We plan on mass market customer trials and commercial proof of concepts in the coming months, leveraging the company's chipsets. And I should note that the chipset flexibly supports a range of frequencies, including all of the LTE bands worldwide for further implementation across global markets, including the 920 to 928 megahertz spectrum owned by NextNav in the US, as well as the 855 to 860 megahertz where NextNav's TerraPoiNT system operates in Japan. And as a final comment of our spectrum, we recognize the strategic value of our spectrum. It is sub gigahertz with nearly 3 to 5 megahertz bandwidth that's available. Therefore, we're always looking at ways to increase our spectrum efficiency and make the best use of this spectrum asset as applications become necessary. Overall, it is yet another exciting and busy quarter for our business and we continue to build on the solid traction we're seeing across industry verticals. Our pipeline remains strong and we remain in active conversations with various players across the industry verticals. We're looking to fully realize the benefit of our resilient 3D geolocation capabilities. With that, let me turn things over to Chris for a review of the financials. Chris?
Chris Gates: Thanks, Ganesh. Good morning, everyone. Let me jump right into the numbers, so we can get to your questions. Starting with our topline in the second quarter, we recognized revenue of $1.4 million and an operating loss of $17 million. This number includes $884,000 depreciation and amortization of $6.8 million in stock-based compensation expense. Our total operating expenses were $18.4 million in the quarter and net income was $0.8 million in the quarter. In addition to the previous non-cash charges, net income included a non-cash income element of $17.8 million related to a change in the fair value of our warrant liability. For the first six months, we reported revenue of $2.6 million and an operating loss of $33.1 million, which includes $1.8 million of depreciation and amortization and $14 million in stock-based compensation expense. Total operating loss for the six-month period was $33.1 million, and our net loss was $8.9 million. As Gary mentioned, we are continuing to prudently manage our expenses to ensure we are well positioned to continue on our growth trajectory, especially considering the inflationary environment and market volatility. Our operating cash usage for the quarter was $10.6 million, an increase of 15% compared to the first quarter. This is predominantly related to incremental hiring to grow our business to customer base, although as Gary mentioned, significantly moderated pace to ensure that we – to ensure that we're managing our expenses appropriately. In light of the inflationary environment, we have seen somewhat higher new employee and equipment costs. They are not material to us at this time. We've also been able to manage potential supply chain issues to ensure we do not encounter any delays in our operations, or planned deployment activities. Our balance sheet remains debt-free and we had $82.5 million in cash at June 30, providing us with ample capital flexibility as we navigate the current market environment. This balance sheet strength combined with our existing nationwide Pinnacle network IP portfolio of 2.4 billion megahertz spectrum continues to provide us with an extremely solid foundation as we grow our business. With that said, we're continuing to manage our business, we'll manage – we're balancing our growth needs with liquidity and capital flexibility. For the quarter, we've achieved additional awareness and adoption of our Pinnacle service, especially in the key public safety vertical as Ganesh described in some detail and are particularly encouraged by government-driven activity related to resilient PNT in our TerraPoiNT business. And now, let me turn the call over to the operator for your questions.
Operator: [Operator Instructions] Your first question is from Mike Crawford of B. Riley Securities. Please go ahead. Your line is open.
Mike Crawford: Thank you. A number of questions. One, you know Chris thanks for that financial detail. It sounds like you have specific numbers. Why are they not filed in – with the press release this morning?
Chris Gates: We didn't – we're filing our Q after close this afternoon, along with -- and actually, you'll also see one other filing, a registration statement going along with an amendment to our initial S-1 filing.
Mike Crawford: Okay. I'm sure I'm not the only one that I appreciate the income statement, if not balance sheet or statement of cash flows before earnings call next time. Can you talk about progress on E911 with your one carrier partner and status with others given this I guess, maybe competing argument about vertical location that there will be competing technologies at CT -- the CTIA seemed to put forth earlier this year? 
Gary Parsons: Yes. Ganesh, do you want to get an update on that?
Ganesh Pattabiraman: Yes. So in terms of our engagement with our carrier partner on the 911 service, we are well on track working with our partner to launch devices later this year that provide Z-axis capability for 911 purposes. And so nothing in that -- in those plans have changed. We did note the filing from CTIA, and we fundamentally do disagree with the -- what was captured in that and in terms of meeting the FCC requirements. We do believe this is now in the hands of the FCC to take a final determination. But I will say that we are now engaged with multiple carriers in meeting their 911 obligations. And we expect to make announcements to that effect in the coming months.
Mike Crawford: Great. Thank you, Ganesh. Can -- and Gary, thanks for talking about the spectrum resource. Can -- is there a specific 5 megahertz block that you've identified within your holdings for TerraPoiNT? And -- but more importantly, what would then be the axis 3 megahertz block relative to LTE band 8, which is a 45 megahertz wideband, but there is that gap between 915 and 925.
Gary Parsons: Yes. Well, actually, yes, there are specific 5 megahertz and 3 megahertz. We actually -- a lot of people -- we talk about 8 megahertz contiguous that actually is two separate licenses that happen to be side-by-side. The D block and the C block, 1 of 3 essentially and 1 of 5, and they are side-by-side. We did receive permission from the SEC many years ago to use that flexibly in the sense that we can either be using them combined into a combined 8 megahertz. We can even overlap between the two or we can use them separately. So what we actually do from each one of our TerraPoiNT beacons that are operational today, they've actually sent out two separate signals, one on each one of those bands, but they are separate signals. And so it sends both. We use them in various ways of both more quickly gaining the signal asset and then for more accuracy from the larger bandwidth. But that gives us a lot of flexibility. As we've noted in the past, obviously, what's going forward in Japan is only five, because we can interleave the two signals of the five without having to go between the two separate ones. But right now, currently, we're occupying both bands. But, yes, those are identified bands that we do know each one on a separate license.
Mike Crawford: Okay. Thank you. And then last question for me is, is there any update on your Sitelus [ph] partnership regarding maybe extending r to more rural areas, backup timing signal?
Ganesh Pattabiraman: I can address that.
Chris Gates: First, let me say this, first, I would -- I don't want to call it a partnership. We worked together on the demonstration for the government to show that we could do it in a coordinated basis. And then candidly, I'll have to say that we continue on an ongoing basis, not just with Sitelus, but I mean across the industry to look at creative ways that we can interleave our signals with other technologies, particularly looking for ways that we can improve the performance or reduce the cost of how we may deploy. So that's kind of an ongoing issue that we work with, not only with those in the industry, our own internal technology development and with government agencies, I just wanted to be careful before we characterize it as a partnership with Sitelus.
Mike Crawford: Okay. Thank you, guys.
Operator: Your next question is from Timothy Horan of Oppenheimer. Please go ahead. Your line is open.
Timothy Horan: Thanks guys. Could you give us any sense on the cash burn for quarter going forward? And maybe any -- also any sense of the revenue for the second half of the year. Are you expecting any new revenue streams coming in? Any color at all would be great.
Ganesh Pattabiraman: I'll let Chris address the cash burn because obviously, I think we've made a couple of statements today that we're being careful to make sure we control that and that doesn't ramp up too rapidly. So likely fairly consistent with what we've seen before. We will have some capital that we're expending as we're building out some additional initial networks in some of the additional markets. But from a revenue guidance standpoint, we're -- I hate to say it, guys, but we're still not providing guidance, so we'd rather not get into what to expect in the coming quarter or for the remainder of the year at this point in time. It's just such a new service and such a new adoption trajectory that occurs, we're clearly seeing an awful lot of platforms and partners adopting the service, but how quickly that matures into actual revenue coming out of each one of those is still a little bit of an experience we're going through. Chris, do you want to talk more about capital or the cash burn?
Chris Gates: I can see our quarterly operating cash expenses in the first quarter were $9.1 million in the second quarter, a $10.6 million, about a 15% increase, again, attributable predominantly to a modest amount of headcount expansion as we ramp-up some of our operations and capabilities. We may see that tick-up a little bit as we work through the rest of the year, but we're keeping a very close eye on how we expand our expense base. And as Gary mentioned, there will be some CapEx in the second half of the year associated with some market expansion. Some of that will go into the first quarter and you'll see that start to manifest in our 3Q financials.
Timothy Horan: Great. And then on the timing of the government and maybe the structure, do you think you can get some upfront grants from them to do a build-out and your best guess on how much and the timing for something like that?
Ganesh Pattabiraman: Yes. Let me talk through that. So, I mean, I think, we are definitely seeing the government considering grants and revising their procurement process to include P&T resilience. These grants are distributed at the state level and definitely, there is a potential to leverage those grants to support resilient infrastructure, such as ours to be part of it. We don't know the extent of that, whether it be 50% or 25% or greater. And I think that will become clear once the grants come out and the directives around them. But we certainly do see those coming out. I think, we expect that to be, let's call it, in the next nine-month type of horizon as we've seen with the FFA framework, we expect other similar agencies to provide those types of directives and frameworks for incorporating P&T resilience into those grant programs.
Timothy Horan: And Ganesh…
Gary Parsons: It's actually, kind of, unfortunate, you hate that it has to be a war to get the government's attention. But undeniably, the Ukraine conflict has, in fact, focused government's attention not only in the United States but again, across Europe, particularly, on this. And I think by -- at this point now, awful lot of the congressional committees and relevant jurisdictions as well as individual senators and members that are associated with GPS are focused on this issue. And all three of the primary departments, DoD, DHS, and DoT are actively now engaged in this issue.
Timothy Horan: Thanks a lot, guys.
Operator: Your next question is from Jamie Perez of RF Lafferty. Please go ahead. Your line is open.
Jaime Perez: Thank you. Good day, everybody and thanks for taking my call. As far as the government contract, I know, I mean 2025 is only three years away. I mean, how does that change your strategy for TerraPoiNT, I mean, does it accelerate it? Because like I said, it's only about three years away. Maybe you could comment on that.
Gary Parsons: That's -- Jamie, that's probably the question of the day. It is candidly one that we are looking at very strategically with the Board of Directors because there is no doubt, when we laid out our initial plans that was expected to be a much longer process, and yet we're seeing the ability, the openness of the governments, not only here, but abroad, and some potential things we can do with our technology to maybe even speed that process up, without entailing the sort of large capital expenditures that we originally envisioned to have a fully fleshed out three dimensional PNT type of capability. So, we're exploring all of those options. But there's no doubt. I mean, one thing we've learned as we've gone through this year, that part of the business is, in fact, accelerating much more rapidly as far as interest, and to the extent that we can have the government fund, a good bit of what we're trying to do, we certainly want to make sure we take every advantage of that, or make sure that they are a customer or that they are requiring anyone that's getting a government contract to become a customer, either one of those we’re trying, provided we can get the technology out there in front of them. That's a little bit of why we're also having some limited expansion in the markets that we previously put our initial networks into. We're expanding to a number of additional markets right now, but on a very judicious build. So, I will have to say, we don't have a firm answer to that. But the question you asked is the question of the day. That is coming so much more rapidly than we expected. We have to understand how we best align our business strategies and our product offerings to make sure we take advantage of it.
Jaime Perez: No. As that works plays out, any change in headcount? I mean, are you going to be hiring more engineers, sales staff? I mean, what's the progression on that?
Ganesh Pattabiraman: Yes.
Gary Parsons: Yes. Go ahead, Ganesh.
Ganesh Pattabiraman: Yes. Let me -- so. Yes, so, I mean, I think, as Gary mentioned, we are going to be -- this is an opportunity that we were -- is coming faster than we had anticipated, which is obviously good news for us. And so, we are looking at, not only the technology and the platform development to ensure sort of alignment with those types of time lines, but also hiring the right set of folks to reach out and be in a position to, not only get access to some of the funding that maybe available to help with the build-out, but also with the adoption and usage of the service within the government agencies and/or the different end user or critical infrastructure providers that would need to leverage this type of capability.
Jaime Perez: Okay. Any of these programs -- I mean, maybe it's hypothetical, but be designated as a national security, which might take precedence, because I think when something does it as national security, everything’s thrown at the program, to evident, but what do you -- 
Ganesh Pattabiraman: Well, I think, the full -- this whole issue around PNT resilient is being viewed as building the resilient infrastructure within the country to be able to withstand not only the natural hazards that come about, but also the cyber hazards that we experienced on a relatively daily basis. And so, from that perspective, I think it is absolutely a national priority to build that infrastructure to be resilient. So, I think – I don't know what necessarily the classification of national security, but it is part of the framework for the infrastructure of the future and the Brazilian infrastructure that the government is very focused on and trying to build at this point.
Jaime Perez: All right. Now switching over to the consumer. Unity, just a couple of days announced some transactions, I mean, they're doing a JV with China and they're trying to acquire merging with ironSource and another company even was trying to put a nonbinding solicitation for Unity. I mean, is Unity a client and I know they have some gaming -- 3D gaming application. I mean, it might be too early, but you told me, what's the implication for NextNav and the promising – if there are any promising outlook?
Ganesh Pattabiraman: So Unity is definitely a partner of ours. I think we announced that last year. We hosted on their application store and as a capability that other app providers can leverage, we recently renewed that contract with them. And so both Unity and Unreal who is the provider of the other major platform on the gaming side, they both are partners of ours who are making the capability available on their platform. And that's where we see actually a lot of interest and traction in the gaming space for developers who are looking to incorporate our technology to realize the digital twin and the metaverse types of applications. Some of the recent announcements that we made just a few months ago, place -- things like Widow games and echo3D are all built on the Unity platform and a lot of them actually came from that platform availability that we have with them. So, we do have a very good relationship with Unity and we're seeing the applications trying to leverage this capability for commercial purposes.
Jaime Perez: All right. Yes, it seems like everything is going in high speed. All right. Thanks for the update, guys. All right. Thank you.
Ganesh Pattabiraman: Absolutely.
Operator: There are no further questions at this time. I will now turn the call over to Gary Parsons for closing remarks.
Gary Parsons: Thank you very much, operator. And once again thanks everyone for joining us on the call today. As you can tell, we have an awful lot of place in here and we're getting -- working with an awful lot of increasing number of platforms and provide a reason and partners on the Pinnacle side. And then we have this new very rapid governmental interest that coming along for TerraPoiNT. So, we're definitely moving as quickly as we can, but we're also trying to do it in a careful basis relative to the ramp-up of our expenses and headcount to make sure we are adding the right people and the right products to align well with the business opportunity that's in front of us. So, we look forward to speaking with you all again in next quarter. And thanks very much for your participation.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.